Operator: Good morning, ladies and gentlemen. And welcome to the Cooper-Standard Second Quarter 2016 Earnings Conference Call. During the presentation, all participants will be in listen-only mode. Following company prepared comments, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded and the webcast will be available for replay later today. I would now like to turn the call over to Mr. Roger Hendriksen, Director of Investor Relations.
Roger Hendriksen: Thanks, Dan. And good morning everyone. Thanks for taking the time to join our call today. We appreciate your continued interest in Cooper-Standard. The members of our leadership team who will be speaking with you on the call this morning are Jeff Edwards, Chairman and Chief Executive Officer and Matt Hardt, Executive Vice President and Chief Financial Officer. Before we begin, I need to remind you that this presentation contains forward-looking statements. While they are made based on current factual information and certain assumptions and plans that management currently believes to be reasonable, these statements do involve risks and uncertainties. For more information on forward-looking statements, we ask that you refer to the slide three of this presentation and the company statements included in other periodic filings with the Securities and Exchange Commission. With that said, I will turn the call over to Jeff Edwards.
Jeff Edwards: Okay. Thanks, Roger, and good morning, everyone. We are certainly pleased to again report record quarterly performance. The second quarter of 2016 marks the seventh consecutive reporting period in which we’ve delivered year-over-year improvement in adjusted EBITDA. We reached a record high $879 million in sales for the quarter, excluding the impact of foreign exchange rates and divestitures, sales were up more than 5% year-over-year. We continue to see strength in all of our key markets and strong demand for light trucks and SUVs continue to drive a favorable mix. Adjusted EBITDA for the quarter was $109 million, which was also a record high for our company, up nearly 12% compared to the second quarter of last year. The increase was driven by improved volume and mix, as well as our continued success in implementing the Cooper-Standard operating system and best business practice tools in our facility around the world. As a percent of sales adjusted EBITDA for the second quarter 2016 was 12.3%, that’s up 100 basis points compared to the second quarter of last year. We also had an excellent quarter in terms of free cash flow with a $39 million improvement versus the second quarter of last year. Matt will provide more details on this in a few minutes. We’re certainly very proud of our employees around the world, they’re the ones responsible for the record results. Their alignment to our strategy and dedication to our culture of innovation and operational excellence continue to drive our performance. I would like to thank each of them very much. As we move on to slide six this reflects our track record of outpacing industry growth, as mentioned on the prior page we had a 5.2% growth in the second quarter excluding the impact of FX and divestitures. Carrying that forward to the first half with similar FX and M&A adjustments we grew at 6.8% or 2.4 times greater than the light vehicle production growth. This continued growth above market is consistent with what we have said you should expect. On slide seven, we compared our adjusted EBITDA results in the second quarter to the same period a year ago and we breakout some of the key drivers of our record performance. Volume and mix were favorable in the quarter adding $16 million in adjusted EBITDA improvement year-over-year. Our manufacturing teams continue to drive improved efficiencies adding $14 million in EBITDA compared to the second quarter of 2015. We remain on track with our plans to deliver $100 million in operating savings for the full year as we ramp up our best business practice tool in our fuel and brake delivery and fluid transfer system facilities. Turning to slide eight, as we have discussed the Cooper-Standard operating system provides our teams a playbook of systems and best business practices. It’s the primary tool we use to drive our performance in all aspects of the business. This slide highlights some of the major operating measures and accomplishments in the second quarter. We’re certainly proud to have received five major customer recognition awards in the quarter, for product quality, service excellence and new product launches. Also we successfully launched 60 new programs in the quarter, while at the same time achieving $14 million in operating cost reductions. Improving product quality by 81% and improving employee safety by 26%. We also added $47 million of net new business during the quarter, bringing the total for the year to $214 million. Moving to slide nine, our culture of innovation continues to drive game changing advancements, especially in material science in creating value through the differentiation in the market for Cooper-Standard. To-date we have booked $142 million in annual sales of our new innovative products, $34 million of this was booked in the second quarter. Start of production on this business ranges from late 2016 to the first quarter of 2019. We’ve also added two more development contracts for Fortrex sealing products bringing the total to six. We’re pleased with the momentum that our innovations are gaining across the customer base. In addition to the contracts we have been awarded thus far, we have a larger number of pending open quotes and additional targeted quotes we expect to submit by the end of the year. We’re optimistic that this will drive significant new business awards in the future. We also remained very excited about the pipeline of additional innovations that we have in development. We expect these to continue to drive incremental profit growth going forward. We continue to explore ways to accelerate this growth including the possibility of introducing our material science in adjacent markets. So in summary, we’re commercializing breakthrough innovation technology, growing the top-line, expanding margins, and significantly driving improved cash flow. Let me now turn the call over to Matt. 
Matt Hardt: Thanks, Jeff and good morning, everyone. In the next few slides, I’ll provide some additional color on our financial results for the quarter and then comment briefly on the evolution of our investor awareness efforts in our trading volume. On page 11, you see a summary of our results for both the second quarter and the first-half of 2016 compared to the same period in 2015. As Jeff mentioned our second quarter 2016 sales of $879.3 million was another record high. Gross profit for the quarter was 19.6% of sales, up 170 basis points year-over-year and up 190 basis points year-to-date. Our adjusted EBITDA were $108.5 million for the quarter was also a record high, so a 12.3% of sales this was an improvement of 100 basis points over last year and a 30 basis points sequentially improvement over the first quarter of 2016. Our year-to-date adjusted EBITDA of 12.2% is up 150 basis points over the first half of 2016. Net income in the second quarter was $40.9 million or $2.20 per diluted share and when you exclude restructuring charges, the adjusted net income was $52.9 million or $2.85 per diluted share, up $0.62 or 28%. Our year-to-date adjusted EPS of $5.37 is up $1.51 or 39% compared to the first half of 2015. Our CapEx for the quarter was $26.3 million or 3% of sales and for the first half of the year the CapEx was 4.7% of sales, which is in line with our full year and longer-term plans. On slide 12, the chart on the left highlights how we are continuing a positive trend in our adjusted EBITDA margin. On a trailing 12 months basis we have shown margin improvement in every quarter since the third quarter of 2014, which is essentially when we begin the implementation phase of our current operating strategy. We are pleased with this improvement so far and we believe that there is still more upside opportunity for us going forward. Free cash flows for the quarter improve $39.4 million compared to the second quarter of 2015. Our first-half free cash flows generation is up more than $73 million compared to the same period last year. These improvements were driven by primarily improved operating income, timing of CapEx spend and our continued focus on working capital improvements. Moving to slide 13, the combination of strong operating performance and focus on executing our cash generation strategies has continue to strengthen the balance sheet. We ended the second quarter with total liquidity of $463 million, with cash increasing to $340 million or 66% higher than in the second quarter of 2015. In addition to the $123 million on our undrawn revolver. As our business continues to perform we have established a consistent level of liquidity quarter-on-quarter, which gives us flexibility and optionality to optimize our profitable growth strategy and our stakeholder interest. We have a moderate amount of debt outstanding with $774 million at relatively low interest rates and no significant maturities until 2021. And when considering our cash balance we ended the second quarter with net debt of $434 million and a net debt ratio of only 1.1 times trailing 12 month adjusted EBITDA. Moving to slide 14, our margin expansion and improved cash flows generation have not gone unnoticed by the credit rating agencies, during the second quarter Moody’s upgraded us to B1 with a stable outlook and Standard and Poor’s upgraded our outlook from stable to positive. The commentary from both agencies express its confidence that we will sustain and improve our operating performance going forward and this is consistent with our strategy and what we have been communicating to our current and potential stakeholders. Now moving to slide 15, as we transitioned in the execution phase of our strategy and we have seen an improvement in our results. We have actively focused on increasing our visibility within the investment community reaching out to both existing and potential shareholders to increase investor awareness. In addition to our own outreach effort we’re also pleased to have two additional analysts initiate coverage increasing our total to six from zero just three years ago. With our improved operating performance, added research coverage and proactive investor outreach efforts, we’ve seen a notable increase in the average trading volume. We believe this should help reduce investor concerns regarding trading liquidity. Now let me turn it back over to Jeff. 
Jeff Edwards: Okay. Thanks, Matt. And the few minutes we have left, I want to review our outlook and the guidance for 2016, so let’s move to Slide 17. As we discussed during our last call, we typically revise guidance once a year in conjunction with our second quarter results. In a view of our strong first half performance, which exceeded our plan and given our positive outlook for the remainder of the year, we’re increasing our full year guidance for both sales and adjusted EBITDA margin. We now expect full year sales to be in the range of $3.4 billion to $3.43 billion, that’s an increase of $50 million on the low-end and $30 million on the high-end of the range. We’re increasing our outlook for adjusted EBITDA margin to a range of 12% to 12.5%, consistent with our first half performance and the expectations that margins could improve slightly in the second half, given strong production volume in our key regions. So this represents 120 to 170 basis point improvement compared to the full year 2015. We expect to see continued top-line growth above the market, coupled with continued operational execution. So this concludes our prepared remarks. Now we would like to open the line for questions. 
Operator: Thank you. [Operator Instructions] Your first question comes from the line of John Murphy with Bank of America, Merrill Lynch. Your line is now open
John Murphy: Good morning, guys. 
Jeff Edwards: Hey, John. 
John Murphy: Just a first question on slide seven. Jeff, you kind of have alluded to $100 million of efficiencies and savings in full year ‘16. It looks like you got about $14 million in the second quarter, just wondering where you are year-to-date, and what will really get you to that $100 million by the end of 2016? It I understand that…
Jeff Edwards: Yeah, thanks, John. I think as I mentioned also, keep in mind John, last year, we had rolled out the best business practice tools across our sealing business and we had generated that same number around $100 million. This year in addition to continuing with our sealing plants, we’ve now launched it in our fuel and brake delivery, and then later in the year in our fluid transfer system facility. So that will absolutely generate additional savings in the second half. And I think if you look at our numbers this year, $32 million year-to-date, that’s very similar to where we were last year at the sometime. So typically, as you build momentum going through the year, this is very much exactly as we did last year.
John Murphy: That’s helpful. And then as we look at slide nine, interesting, I mean, the book business to-date is relatively strong. Just curious, as your book business, I mean how fast can it roll on, because I mean you kind of alluded it to have been late that business rolling on from late 2016 to first quarter of ‘19, which is roughly over the next two years. So as you are awarded business, can it roll on very quickly? I mean, just curious that sort of the book-to-launch timing?
Jeff Edwards: Yeah. I think John, what we’ve said in the past and you’re aware of this as well. Unless we have a running change, so if we’re fixing an issue that may be our customer has with the competitor’s product and they want to put ours in, in a mid-cycle, then we can do it sooner. That’s why you would see some of them going sooner rather than that later. But typically, the period of time from when we win an order with our parts, that’s two to three years before it launches. That’s pretty normal for us.
John Murphy: Okay. And then as we look at the pending quotes of 100 to110 and additional targeted quotes of 200 to 225. I mean, what is your typical win rate as you get into this quoting process?
Jeff Edwards: Yes. I think, the good news is our Fortrex product John is really gaining momentum. We now have six preproduction orders there. And as you know, that’s advanced engineering working with us on particular programs that ultimately we believe will be specked into. So we’ll continue to say that we are working on 2018-19 and in some cases ‘20 model years for all of that. So it’s going very well. On the MagAlloy for fuel and brake we’ve already booked one production orders that will launch two years from now and we have others that are in the queue that we feel very strongly about. So I think it's best to think about it in the -- as far as significant ramp up of sales for us will be 2019-20 model years at the onset of this new technology I think that’s the best way to think about.
John Murphy: Okay. And then just lastly as we look at slide 12, the EBITDA margin progression is wildly impressive. Is there sort of an upper limit or target that you guys are thinking about there. I mean, you exited the first half at 12.2%, which is even well above the LTM of 11.6%. What are you thinking about a sort of a target there or the upper limit even if you think about it that way, but really the target and how do you get there? I mean, is it lot of efficiencies and the new business or just trying to understand that?
Jeff Edwards: I’m sorry John, are you talking about this year or coming years?
John Murphy: I’m talking about sort of a long-term target. I mean you had the outlook for this year. But I mean, is there a target range like I said I mean, you are exiting the first half 12.2%, which is much higher than 11.6%, I mean is this the kind of number that you get to 13%, 14%, 15% I’m just trying to understand where your headed that sort of as a long-term target?
Jeff Edwards: I think we’ve given you guys some color around that when we think about our margins here in North America. We think as we bring the innovation to market we’ll get paid for that so that will result in some increase in addition to the running of the business more effectively than we are. So we expect to continue to do well in North America. Europe you know that we’ll finish our restructuring there, so the 2018 that business will be in the low double-digit from an EBITDA point of view and we’ve talked to you about China with the acquisition we made there and teaming that with the Cooper business that was there. We expect that to be in the low to mid-teens going forward in the time period that you are referencing. So I don’t have any issue talking about the margin expansion continuing into the low to mid-teens as we get out in these future years.
John Murphy: Great, thank you very much.
Jeff Edwards: Okay.
Operator: Your next question comes from the line of Matt Koranda with ROTH Capital Partners. Please go ahead.
Matt Koranda : Good morning, guys. Thanks for taking the questions.
Jeff Edwards: Good morning.
Matt Koranda : Wanted to start off with the revenue outlook for 2016. So if I look at the midpoint of that guidance it does imply that the second half could be down a touch sequentially versus first? Maybe just wanted to see if you could comment on what you are seeing by region and just get a little more granular into what fit into that outlook?
Jeff Edwards: I think Matt you have probably seeing some of the customers talking about second half, and so we reflected not only our releases over the next couple of months that are very from, but we’ve also reflected some of the recent discussion about volumes in the second half. We certainly feel that we are in good shape in China, we think about that in terms of the $25.2 million or so for that market I think that will be solid, North America our numbers reflect the latest IHS settlement there right around $18 million. So that’s down just a little bit. In Western Europe we feel really good. So that sort of how we think about it. But we are typically always down when you compare the second half of the year to the first half, but not significantly.
Matt Koranda : Got it. Okay. And then the six development contracts that you guys highlighted. Just wanted to get a sense for sort of how long do you expect some of those development contracts to adjust before you start to see book of business on commercial programs?
Jeff Edwards: Yeah, I mentioned to the previous questions on that, Matt, I think that we are looking certainly as we have these preproduction orders right now with advanced engineering and we are talking about 2019 model years, 2020 model year is when we have targeted for revenue to begin impacting our bottom-line at least in a measurable way.
Matt Koranda : Got it. Okay. Couple more, wondering if you could just comment on the pricing environment that you guys are seeing, whether it’s on existing programs or incremental bookings? I mean, just in this environment where you did talk about production environment kind of flattening out in certain regions are some of your customers getting a little bit more aggressive looking to get price downs or is it kind of steady here?
Jeff Edwards: I think the market itself hasn’t changed in many years, I think there is different ways to answer that for each customer, Matt. But I would tell you that we aren’t seeing anything different, as I sit here today versus at any point this year or last year it continues to be a challenging market. We certainly have strong competitors. Our view on managing all of that is that first of all we have to continue to drive an operation excellence in Cooper-Standard and take our cost down so that we can keep up with whatever pricing pressure exists, and so far we’ve been able do that very well. And then I think our second strategy certainly is around innovation. If we can offer solutions to our customers that our competition can’t. And there is value there for our customers, which is our responsibilities to create that value for them. We think that that will go a long way in helping us manage any pricing pressure as you have alluded to there.
Matt Koranda : Got it. Okay. And then just one more if I may here. In Asia-Pacific as the operating margin just tick down slightly sequentially. Is that just launch activity, plant ramp up that’s impacting that or just maybe a little color around that?
Matt Hardt: Yeah Matt this is Matt. It’s exactly that. There is two things, one is some incremental spend on SGA&E as we plan for future growth. Secondly, as on a year-over-year basis incremental interest expense. And what you see on reported is segment profit. That includes D&A, as well as interest expense. I mean if you take a look at that from an EBITDA perspective, Asia is running close to 10% on a quarter and year-to-date basis. 
Matt Koranda : Got it, very helpful guys. I’ll jump back in queue, thanks. 
Operator: Your next question comes from the line of David Kelley with Jefferies. Your line is now open. 
David Kelley: Good morning gentlemen thanks for taking my questions.
Jeff Edwards: Good morning, David.
David Kelley: Gross margin was up nicely in the quarter even accounting for the price adjustments there. Just wondering if you could talk about some of the drivers of that expansion. And maybe the longer term opportunity you see in gross margin.
Matt Hardt: Sure. So David as Jeff mentioned back on page eight, when you take a look at the net cost out that we are getting on an annualized basis it’s materializing quarterly. Year-to-date we’re at $32 million in the second quarter alone. We’re at 14, so the net cost at operations are helping us. The other thing that’s giving us a lift is the mix of product that we’re selling with the incremental volumes on trucks and SUVs that for sure is helping mix up our gross margin as well on a year-on-year basis. 
David Kelley: Okay, great. Thank you. And then another quick follow-up to the truck and SUV comment. Just curious to your thoughts on U.S. regulator shelving the 54 mile per gallon fuel economy target. And given your exposures to light trucks and SUVs, how do you think this plays out or maybe alters production mix and maybe your prospects over the next several years.
Matt Hardt: Again I think we continue to talk about trucks and SUVs in the mix that we’re seeing today. Our view is that we’ll continue to be very strong. We don’t see anything in terms of what our customers are talking to us about that would suggest that’s going to change anytime soon. So we feel very good about that. 
David Kelley: Okay, great. And then one final one from me and I’ll pass it along. Just a quick follow up on Fortrex. I think you mentioned last quarter the four contracts were split evenly between North American and European OEMs, just wondering if maybe you could provide us with the similar breakout of the two incremental contracts? 
Jeff Edwards: It’s now 3 and 3. 
David Kelley: Perfect, thank you. 
Operator: [Operator Instructions]. Your next question comes from the line Pat Archambault with Goldman Sachs. Please go ahead. 
Patrick Archambault : Thank you. Good morning. Congrats. I wanted to just follow-up on one of the margin questions. I guess on slide seven in your profit look you’ve got either $16 million contribution year-over-year from volume mix. There isn’t a comparable revenue look that I can see, but if you just takes out on the back of the change in revenue, right, which is about $18 million. It’s obviously very, very high conversion. And so I wanted to see if I was thinking about right. I guess, you did mention mix but maybe just a little bit more on that number would be helpful?
Matt Hardt: So Pat, this is Matt. When you think about it, FX negatively impacted us in the second quarter, as well as the impact at the divestitures of our Rockford business in the tail of our Thermal and Emissions business. So when you think about revenue alone, we talked about a 5.1% increase in revenue on an organic basis that would have driven the $16 million.
Patrick Archambault : Got it. So it’s 5%. So I guess, I don’t know, I mean, if we look at that that’s more like the round numbers kind about $45 million increase. I mean, look it’s still a very nice kind of 30% plus percent contribution, right?
Matt Hardt: Yes.
Patrick Archambault : So I guess, maybe -- I suppose the divestiture would sort of -- well, no you do have to take that out, but so I mean that’s really kind of the mix impact, right? That is kind of the reflecting in that, is that kind of it?
Matt Hardt: Yeah, if you think of volume by itself, that number looks like it wants to be in the sort of the $55-ish million range. When you take out price FX and the impact of the divestitures, that’s $16 million, it would quite more to a $55 million or so million volume change.
Patrick Archambault : Got it. Okay. No, that’s helpful. And then the other one that I wanted to follow-up on is just China. I mean, I think you were up 4% year-on-year, which is decent. But I mean that the market is up also a decent amount in terms of production in the quarter, and you guys have a lot of these new contracts rolling on. So how do we think about the acceleration of that and the timing of that?
Matt Hardt: That’s, -- it’s a good question. And when you think about as we report from a segment perspective, Asia Pacific? That includes our sales in India and Korea and the rest of Southeast Asia as well as China. We are seeing growth above market in China. It’s offset a little bit with the growth rates that we’re seeing in the other countries that we sell in Asia Pacific.
Patrick Archambault : And just to get like more from grounding, out of the new programs that you are quoting on and winning. Can you just maybe loosely describe where we are in that time ramp period? I mean, has that roll on process, are we are already decently in the thick of that or is most of that to come?
Jeff Edwards: Yes. I think in China -- Pat, this is Jeff, I think we are certainly right on what we told you we were going to do in China. We think by the beginning in the next decade, we will have a billion dollars of business in China. We started in -- at the end of 2012, we had $200 million. This past year we hit the $400 million number. End of next year, that number will be we have a 6 in front of it. We’re well on our way to the target that we described. We’ll add our 11th plant in China this year for fuel and brake vertical integration. Keep in mind that we’re operating there at about 50% or 60% of our capacity across all those plants. So the good news is, as we go from this $500 million in sales number that I talked about to the $1 billion number that I talked about, there is not a whole lot of need for more brick and mortar. So we feel really good about the trajectory we’re on as well as the capacity that we have put in place to manufacture the business that we’re winning. The second point I would make is that we’re also getting a lot of pool for our technology. So not only with the traditional western automakers that have joint venture there with the Chinese automakers, they’re certainly interested in the technology but we’re making some pretty quick inroads as well with some of the winning domestic Chinese automakers as well. So the growth is really extremely strong, the challenge that we have is to continue to get it launched in a pristine way so that we manage our cost and our quality and the overall performance that’s always the big challenge in a market like that with a growth rate that we have.
Patrick Archambault : Got it that’s helpful color. All right, thanks. 
Matt Hardt: Hey Pat one other comment I guess I failed to mention is regarding foreign exchange with the change in the Yuan both the second quarter and year-to-date that does have a dampening impact on our top-line growth. 
Patrick Archambault : I means I know we can follow up offline if you don’t have it at your fingertips, but be curious to see what that represents?
Matt Hardt: It’s about 5%. 
Patrick Archambault : Interesting okay got it. Terrific guys well, congrats on the quarter and thanks for all the additional color. 
Matt Hardt: Thanks, Pat. 
Operator: Your next question comes from the line of Brett Hoselton with KeyBanc. Your line is now open. 
Brett Hoselton: Good morning.
Jeff Edwards: Good morning, Bret. 
Brett Hoselton: Wanted to take a step back on the 30,000 foot perspective you got a very solid self-help story from a margin perspective, you’ve been doing a great job in improving margins and we’re going to see some continued improvement there. However as I look longer term I think you’ve got kind of a second wave coming through in terms of new product development driving top-line growth. And I wanted to ask you can you talk a little bit about some of the new products that you’re developing and how do you think those are potentially going to help you drive top-line growth longer term? And as we think about it from investment community and modeling it longer term, when does that actually start to drive revenue growth for your company? In other words is it a two, three, four, five year process, how do you think about that?
Jeff Edwards: Yeah Brett this is Jeff, so I think as I mentioned for a sealing business the new material science that we developed then we’ve branded Fortrex will provide the sealing side of the company, tremendous opportunity we think to grow. When we look at how we think or why we think that will happen and we ultimately is going to save our customers 30% to 40% in weight savings over the product that it replaces the EPDM [ph] product that it will replace. It also has a performance science associated with it that allows it to basically look showroom and new for its entire life and if you look at most EPDM products that are in the market and it’s exposed to the different climates around the world it tends to fade and crack in age overtime and our product does not. So those are just a few of the reasons why our customers are so excited about it. And as I mentioned earlier we have six development contracts on it right now. I would expect for in terms of land it would start to impact the company you’re going to be looking at 2019-2020. And then certainly beyond we expect to not only use it to help reinforce our current portfolio of sealing business, but also allows us to we think gain market share in a big way around the world. So we’re excited about that. In addition to the sealing business we have announced similar new technology, I won’t get into the details but for our fuel and break business we have a MagAlloy tube technology that is very high performing product that allows us to meet or exceed our customer’s expectations with that. And then with our FTSOs business the similar material science that we have with Fortrex in that it’s going to reduce weight, improve performance and all things that our customers are really happy with. And as I mentioned earlier when you walk in with new technology that can help customers achieve their objectives that’s a much better discussion around winning business, and winning business profitability and that’s what we’re seeing. So that doesn’t mean we don’t have to be competitive. We do, and we’re very focused on making sure that not only our plants world class, but we also have technology that nobody else has and those would be two good combinations going forward. So think about that towards the end of the decade having more of a financial impact, but it also is helping us with relationships and building the brand image that we’re trying to build around innovation for the customers. 
Brett Hoselton: Switching gears second question M&A. You’ve proven yourself to be very good operators. So how do we think about M&A? It seems like you could choose for many number of different companies and you could either choose fix or uppers, you could choose customers penetration rates, you could choose regional penetration rates, new products and so on and so forth. So how do we think about as you’re kind of looking at the M&A market, what are you looking for?
Jeff Edwards: Yeah I think just to keep in mind, we talked about what we’ve done the last three years, we’ve actually done nine transactions in the past three years. So we’ve gotten rid some things, we’ve brought some things to help us number one get focused on what we want to do going forward, which is the reason we have four product groups today. So we’d look for technology, we look for geography we look for customer opportunities, if they have issues with any of the suppliers they have. Those would be a few things that guide us. Certainly when we think about additional activity going forward I can assure you that we do have long list and we spend an awful lot of time looking at those opportunities. And if we feel from the standpoint of geography, technology or customer that one of those make sense then we would go forward and try to make that happen. I would tell you that the prices associated with some of the folks that are out there in this day and age have been a little bit beyond what we think would have been fair. So we’ve passed on a few as well.
Brett Hoselton: Excellent, thank you very much gentlemen. And another solid quarter. 
Jeff Edwards: Thank you. 
Operator: It appears that there are no more questions, I would now like to turn the call back over to Roger Hendriksen.